Operator: Good day, and welcome to the Sempra Energy Second Quarter Earnings Conference Call. Today's conference is being recorded. At this time, I would like to turn the conference over to Faisel Khan, please go ahead, sir.
Faisel Khan: Thanks. Good morning, and welcome to Sempra Energy’s second quarter 2018 earnings call. A live webcast of this teleconference and slide presentation is available on our Web site under the Investors Relation section. Here in San Diego are several members of our management team, including Jeff Martin, Chief Executive Officer; Joe Householder, President and Chief Operating Officer; Trevor Mihalik, Chief Financial Officer; Dennis Arriola, Chief Strategy Officer and Executive Vice President of External Affairs, South America; Martha Wyrsch, General Counsel; Scott Drury, President San Diego Gas & Electric; and Peter Wall, Chief Accounting Officer and Controller. Before starting, I’d like to remind everyone, we’ll be discussing forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those discussed today. The factors that could cause our actual results to differ materially are discussed in the Company’s most recent 10-K and 10-Q filed with the SEC. It’s important to note that all of the earnings per share amounts in our presentation are shown on a diluted basis, and that we’ll be discussing certain non-GAAP financial measures. Please refer to the presentation slides that accompany this call and the Table A in our second quarter 2018 earnings press release for reconciliation to GAAP measures. I’d also like to mention that the forward-looking statements contained in this presentation speak only as of today, August 6, 2018, and the Company does not assume any obligation to update or revise any of these forward-looking statements in the future. With that, please turn to slide four, and let me hand the call over to Jeff Martin.
Jeff Martin: Thanks a lot, Faisel. Before we get started, I’d also like to thank everyone who joined us at our analyst conference in New York. We enjoyed the opportunity to talk about our strategic goals, planned assets sales, financial projections and long-term vision. Since the analyst conference, we've had the opportunity to continue this dialogue and I've met with over 100 investors. We appreciate the positive feedback we continue to receive on our plan and are committed delivering and long-term value to all of our shareholders. Our management team continues to focus on three things; number one, advancing our strategic vision to become the premier North American energy infrastructure company with leadership positions in the most attractive market; number two, strengthen our balance sheet to support our strategic initiatives; and number three, making progress on our existing and new projects that fit our transmission and distribution and long-term contracted business model. As we discussed in New York, our focus is on delivering shareholder value through superior earnings per share and dividend per share growth. On today's call, I'll provide an update on some of the topics covered at our Analyst Day, new project announcements and the progress we're seeing in our LNG business. Afterwards, Trevor will review our second quarter financials, the key drivers influencing our results and our guidance. I'd like to highlight that we’re reaffirming our full year 2018 adjusted earnings guidance of $5.30 to $5.80 per share. Please turn to the next Slide. In late June, we communicated our strategic vision. It's focused on high grading our portfolio with transmission and distribution investments and long-term contracted assets in tier 1 markets, all with a focus of becoming America's premier energy infrastructure company. In conjunction with this effort, we announced the planned sales of our U.S. wind, U.S. solar and certain U.S. midstream assets. Since then, we've launched the sales process and hired advisors and we continue to be very encouraged by the substantial market interest we received. Also you recall at the Analysts Day, we discussed the need for an additional $1.6 billion of equity in order to reach our targeted capital structure for the Oncor transaction of approximately 65% equity to total capital. Related to this, in mid-July, we executed on the issuance of $1.1 billion of common equity forwards and $500 million of mandatory convertible preferred shares. We're pleased to say that both offerings were very well received by the market. In fact, both offerings experienced robust demand and in combination were 3 times oversubscribed. Additionally, the green shoots on each of the securities were fully exercised by the underwriters, bringing the total expected gross proceeds to $1.85 billion. As I mentioned earlier, the funds raised we used to complete our targeted financing structure that we provided both to the market and the Public Utilities Commission of Texas for the Oncor transaction, and will help ensure that our company is positioned for success going forward. Also as we laid out at our analyst conference, our long-term vision includes providing industry leading earnings per share and dividend per share growth, while maintaining an investment grade plus credit rating over the long-term. Notably, our initiatives to high-grade our portfolio and reduce our risk profile have allowed Moody’s to consider revising our FFO to debt threshold down to between 16% and 17%. We believe this is appropriate and achievable range, and should allow us to effectively execute our capital plans. Moving on to the wildfire issue. We along with other stakeholders continue to execute our three pronged strategy designed to help mitigate the risk to our customers and help ensure the long-term health of California Utilities. Given the recent progress from the formation of the special legislative committee, bills in the legislature and Governor Brown's proposal to specifically address inverse condemnation, we’re optimistic that appropriate legislation could be put in place to address this issue by the end of this month. Also I’d like to briefly touch on our recent conversations with Elliott Bluescape partnership. We’re highly engaged in constructive dialogue at the highest levels of each organization and have had multiple face-to-face meetings. Most recently, three of our Board members met with members of the Elliott Bluescape partnership with their offices in New York. In our view, all parties had strong interest in maximizing shareholder value and constructive conversations are continuing. At the end of the day, our management team believes our disciplined North American focused strategy should create significant long-term shareholder value, and we’re extremely focused on executing the strategic vision. Now please turn to the next Slide. We continue to make great progress on our existing and new projects. Let me start by discussing our LNG projects where we believe we’re well positioned to help meet the world's growing natural gas demand with Cameron and three other LNG development opportunities. First, the construction of Cameron trains one through three continues to progress. The facility remains on track for all three trains to produce LNG in 2019, which McDermott recently affirmed on their earnings call. In addition, in mid-July Total completed its acquisition of on Engie’s LNG assets. We’re actually quite excited to have Total as the new partner. It is a well-led company and has a growing leadership position in the space and we look forward to work with them on this project and potential expansion opportunities at the facility. Shifting to our other LNG opportunities as highlighted at the recent analyst conference. We’re highly encouraged by our progress. We recently selected an EPC contractor for ECA and continue to receive significant market interest given the project’s West Coast location. We also selected an EPC contractor for Port Arthur and announced the heads of agreement with the Polish Oil and Gas company, outlining terms for a 20-year proposed agreement to supply two Mtpa of LNG, which is in addition to the memorandum of understanding signed with KOGAS just last year. Please turn to the next slide where I’ll review new projects and our other businesses. Starting with the IEnova, we continue to establish a dominant market position in the liquid storage business and we’re recently awarded the Topolobampo Marine terminal project. Additionally, we announced an expansion of the Veracruz terminal and redistribution of capacity at the Mexico City and Pueblo terminals. Related to these updates, the total investment for the terminals at Veracruz, Mexico City and Pueblo is now expected to be $315 million, which is $40 million increase. In Chile, Chiquita recently announced the acquisition of two operating transmission lines for $220 million subject to customary regulatory approvals. A good portion of these operating assets are within Chiquita service territory and are already integrated with their existing distribution infrastructure. The transaction is likely to close in the second half of 2018 as expected to be funded with cash on hand in Chile. The projects in Mexico and Chile support the strategy we developed along with our board, which seeks to high-grade our portfolio through a T&D and long-term contracted assets. Just as importantly, they’ll help improve energy accessibility and resiliency in both countries. Turning now to California. We recently submitted an application for a natural gas leak abatement program per Senate Bill 1371. We requested a CapEx amount of approximately $115 million. It would be deployed over a three year period. This program will help ensure the delivery of safe, reliable natural gas and further the state’s goal of reducing GHG emission. An additional cost to development was the CPUCs mitigation report released at the beginning of July, which directed us to increase the storage volume of Aliso Canyon from approximately 24.6 bcf to roughly 34 bcf. This further supports our stance that Aliso and and natural gas are an integral component of energy reliability and affordability in Southern California. More than 90% of Southern California residence depends on natural gas for the daily needs. By some estimates converting to all electric appliances could cost the average household to over $7,000 upfront and upto $1,000 per year and increase appliance and energy costs. That’s why from a customer perspective, we certainly support trends towards electrification while also supporting the ongoing role of natural gas. With that, let me hand it over to Trevor who will review our financial results.
Trevor Mihalik: Thanks Jeff. Earlier this morning, we reported second quarter loss of $561 million or $2.11 per share. These results include the impairment charges, primarily related to our U. S. natural gas storage business, which we discussed at our Analyst Day. This compares to the second quarter 2017 earnings of $259 million or $1.03 per share. On an adjusted basis, we reported earnings of $361 million or $1.35 per share. This compares to the second quarter 2017 adjusted earnings of $276 million or $1.10 per share. Let’s turn to the next slide where I’ll discuss the key drivers impacting our quarterly results. Our adjusted quarter results were primarily driven by the following; $114 million of earnings at the Sempra Texas Utility segment due to the acquisition of our interest in Oncor in March of 2018; and $46 million of higher earnings at the Sempra Mexico segment, primarily due to favorable foreign currency and inflation related impact net of hedges. This is partially offset by $81 million, primarily related to higher interest expense and preferred dividends at parent, which includes the impact of the Oncor acquisition financing. With these results, we are reaffirming our 2018 adjusted earnings guidance of $5.30 to $5.80 per share and GAAP guidance of $1.78 to $2.28 per share but we continue to monitor the peso movements relative to our guidance assumptions. Please turn to the next slide and I’ll hand it back over to Jeff.
Jeff Martin: Thanks a lot Trevor. I want to emphasize that execution of our strategic plan to create long-term shareholder value remains top of mind. In the near term, our management team is focused on the following items: Resolving our general rate cases, executing the sale of our U.S. wind, U.S. solar and certain U.S. midstream assets, progressing the construction of Cameron and advancing our California wildfire risk mitigation strategy. Also, I’d like to take that opportunity to again thank everyone who participating in recent equity offering, the shareholder support we receive is important to us in terms of delivering our long-term vision of delivering quality growth and value creation. With that, we’ll conclude our prepared remarks and start to take your questions.
Operator: [Operator Instructions] And we’ll take our first question from Stephen Byrd with Morgan Stanley.
Stephen Byrd: Jeff, you mentioned at the beginning of your discussion a targeted FFO to debt level. And I was just thinking through Sempra has a number of upside growth potential areas of spending. And as you look at it now when you look at your projected financials, your projected FFO to debt level, if you were successful in some of those incremental growth opportunities, what does that debt target level tell us. Does that imply you have some degree of dry powder with respect to leverage? Or does it mean we should assume a more traditional need for incremental equity if you have incremental applied CapEx?
Jeff Martin: I’ll give you a few comments and then pass it to Trevor. But in general, we’ve been impressed from time-to-time about what is your specific FFO to debt target. And as you know, we spent a lot of time choreographing our strategic plan with all three credit rating agencies. I think what we’ve tried to do really is make sure that we are very, very clear that we expect to maintain an investment grade plus credit rating. I think the second thing we tried to do is spend a lot of time explaining where we were a decade ago, where we’d exposure to IPP businesses, where we’d exposure to commodity businesses and how we pretty concerted effort of trying to high-grade the portfolio where we can have a lot more transparency about our future cash flows. We really found that to be around the transmission distribution type of assets. So what we've done in Texas, we announced that we recently had in Chile this is really the ongoing focus. And what that's really resulted in is the type of dialog and conversations you see come out of Moody’s where they are open minded about reducing our overall risk profile. So our goal is to make sure that we’re really doing everything as a business in terms of cash flows, repatriation and divestitures to support the type of growth initiatives you’re referring to. I’ll stop there and see Trevor if you want to add any comments to that.
Trevor Mihalik: Stephen, the only other thing I’d add really is one of the things once Cameron comes online that is a significant change in the cash flows for the organization, which will certainly support the FFO to debt metrics. And so depending on what we monetize the wind and the solar assets for could significantly help with the growth prospects. And again, what we laid out at the analyst conference with regards to the $15 billion capital plan and the incremental equity offering that we just completed, we believe over the period of time, we will be in a position to support our investment grade plus credit rating.
Stephen Byrd: And then shifting gears to California. So I think the very large recent wildfires highlight the seriousness of the issue and we certainly hear regularly from investors the urgent need to have legislation. I was curious in your dialog you mentioned you were I think optimistic or hopeful that we’d see legislation in the session. Can you talk little bit about the dialogue you’ve had, what gives you some optimism in terms of ensuring that we get legislation that the investment community very much wants to see?
Jeff Martin: Well, I’m glad you asked that question and obviously this is top of mind to lot of investors. I’ll provide a couple of comments and ask Joe to provide some comments as well. I think the way I thought about Stephen is last fall it was really a process of problem identification. Obviously, the CPUC ruled on our WEMS decision, which put a lot of this in play in terms of how people thought about the problem. In the first quarter of 2018, there was a large education process. I think part of that was really aimed at making sure that people understood that this was not a problem, it was unique to the California investor-owned utilities, the impacted municipals, impacted the residential communities’ ability to procure insurance, it had a broad impact to the state. And I think one of the things we could be more pleased about now is to see the type of leadership coming out of both houses of the legislature the governor has really stepped forward. And I think the conversation today is less about one particular bill number or one particular assembly bill number, and really about the value what’s taking place in the conference committee. So there's a committee meeting tomorrow on safe and reliable energy grid and there's a committee meeting on Thursday on inverse condemnation and electric utilities. I think the dialogue has progressed to the point that is right where it should be. We’ve got the right people focused on the right issues, it’s being redefined more broadly as a statewide issue and not an investor and utility issue and I think that's part of my calls for optimism. Now I’ll see Joe if you like to supplement that.
Joe Householder: I would just add a couple of things. I think that the governor wants healthy utilities, he wants to further his energy policies and his agenda and the IoUs play a large role in that. So I think as Jeff mentioned two weeks ago, the conference committee had their first meeting. We have the opportunity to participate in that meeting. We were the only investor owned utility that was at that meeting. But our director of the Firesign's employment adoption, he was there at that meeting and now tomorrow they’re having this meeting. And it’s not only members from each of the California investor-owned utilities but also people who are representing the municipals. So this is a statewide issue it’s not just investor-owned. So we’re encouraged that they’re having that meeting tomorrow followed by another meeting on Thursday. The agenda for that meeting isn’t out yet. You can see these other agendas on their Web site. But we are encouraged about this. We’re working with the various stakeholders in this and we see the opportunity for some movement this month while the legislature finishes its work this year.
Operator: Moving on we’ll take our next question from Steve Fleishman from Wolfe Research.
Steve Fleishman: Maybe is it possible you give a little more color on maybe where there’re areas of agreement or disagreement on?
Jeff Martin: As I mentioned this in my prepared remarks and obviously we went -- took a team back to New York. Jesse Cohen is the Head of the National Practice and that’s who I’ve been dealing with directly. I think all of the conversations you expect us to be having they’re being had, the conversations are quite constructive. And I think that the most important thing is the issues that we’re all focused on are the right issues. It’s really around making sure that we’re continuing to try to find a way to not only have an identity ventures with Elliott Bluescape but also making sure we’re thinking of the interest of all of our shareholders. So I am actually quite optimistic that the tone of the conversations are good, all the right people are engaged and I remain very optimistic about it.
Steve Fleishman: And then just on the -- you mentioned Moody’s in the 16% to 17%. I assume you’re saying that’s consistent with where your plan roughly gets you to then, that kind of range…
Jeff Martin: I appreciate that question, because we spent a little bit of time at the analyst conference talking about how much time we’ve been spending with the credit rating agencies, a lot of that as you know, was as we approach the Oncor transaction last summer we had laid out our long-term plans with a view of making sure that we can accommodate that type of transaction. So we've always been fairly high touch with respect to the credit rating agencies. But over the last nine months, in particular, it's been a very engaged process. So when we got to analysts conferences, it’s really about laying out the fact that, yes, we're doing all the right things to make sure that we're managing our cash flows and supporting our balance sheet and I've talked about some of those. But it was also about making sure that we got the message across about what impact our focus on the portfolio should have to our risk profile. And I think that's reflected in what Moody's said. So it's probably less about whether we've created a cushion or not created a cushion. We need to make sure that we're executing the way that we've laid it out, because we do think there's a lot of opportunities in front of us and making sure we're very closely aligned with agencies is important to us.
Steve Fleishman: And do you have an idea of when they're going to resolve their review, or outlook?
Jeff Martin: I'll pass it to Trevor.
Trevor Mihalik: They have come out and recently published on us. And as Jeff said, they have given us a period of time as a result of the Oncor acquisition and the Oncor financing associated with that. That over a period of time, we could get to the appropriate equity structure of 6535. And while we have done the equity offerings, a lot of those are under forward contracts. And so the expected proceeds will come in over time. And so the agencies gave us approximately 18 months to get the Oncor financing in place. And then of course it also -- like we said earlier, the proceeds from the expected sale will also have a significant impact.
Jeff Martin: And what I would add to that, Steve, too is I think part of the value here, just like as management communicates with The Street, part of it is making sure that when you sit down to credit rating agencies, you deliver what you tell them you're going to deliver. So just last year we actually exceeded our FFO to debt metrics, which was one of our goals. We set out some goals about the targeted capital structure, not only do we deliver, we delivered it early and that's one of the things we're trying to make sure is that we follow through on these types of things. I think the wildcard continues to be the issues that Stephen raised which is what takes place with the California regulatory environment. So I would expect that the agencies will be very much geared to seeing what takes place in the legislative environment. And that really was one of the wildcards that was not factored in last fall when we were talking about the Oncor transaction. So part of this is to stay closely aligned, deliver what we think is some improvements from the legislation going forward. And I think there is some alignment in the state to do that.
Operator: Moving on we'll take our next question from Julien Dumoulin-Smith with Bank of America.
Julien Dumoulin-Smith: Joe, I wanted to follow-up on the two town developments, obviously, well anticipated. But how does that change the marketing efforts on the Cameron expansion [Technical Difficulty]? And then secondly I suppose in tandem hard to ignore the developments in China around their tariff. How does that impact thus far your efforts across the portfolio of projects you’re pursuing?
Jeff Martin: I'll kick this off and pass it to Joe, but let me just start with Total. I think I may have mentioned this at the conference. But when we were at the World Gas Conference with Octavio and Joe, we have a chance to have dinner with Patrick Pouyanne at Total. And I am personally impressed with them as a company. I said him up in my prepared remarks I think it's a very well led company. And I think they have a very ambitious view of an integrated natural gas strategy. They've targeted having about 40 million tons per annum as part of their portfolio by 2020, both balanced between roughly half of that being equity owned gas. So that’s a conversation we’re going to continue. And I think we’re glad to have them as a partner at Cameron. And certainly, they’ve even said publicly that they’re very interested to participate in the expansion process there. So as you think about the marketing activities, I view Cameron, one, is more of relationship management and advancing the interest of our existing customers at that facility. And then in terms of the larger issue you’re raising about China and tariff issues, at this point, it’s tough to -- maybe even premature to forecast the impacts of that. But I think what I am a little bit confident about is LNG is an important part of China’s future. We certainly see that as the key field that will help push coal off of their grid. And frankly, the United States will always be one of the lowest cost suppliers and we think this just bodes well for the future. But I’ll pass it on to Joe to see if he’ll make any more comments about the marketing impacts.
Joe Householder: I think you pretty much summed it up, but I will say in a number of conversations that I had with as they were working with us to request all they approvals needed to make that acquisition. They emphasized a number of times that they really only did this because they wanted to have the access to the expansion. And so they’re very open about that and want to engage in that topic. And I had some conversations with some other partners and I think we’re all starting to see that, especially as we see one, two and three coming toward . And so our focus is staying on one, two, three but I think we have to start engaging in discussions around that. And I think that Total will bring a lot to that discussion. And I don’t have anything else to add on the tariffs evolving…
Julien Dumoulin-Smith: And then maybe can I just bring it back to another issue to get a little bit more clarity on the credit side. Obviously, the 16% to 17% thresholds mentioned a couple of times here. But it’s predicated in part on the business mix change I presume. What’s the timeframe on the sales, and is that what’s linked here to get the affirmation of the outlook, I suppose separately and distinctly from California resolution? And maybe to tackle on the second piece, to that end in terms of business mix, obviously, you’re making pretty explicit efforts on several of your assets. Should we read by the acquisition of the Chilean assets of late that perhaps that’s maybe firmly off the table?
Jeff Martin: I think there’s about three questions in there, Julien. So let me make a rundown. I think that I would probably decouple this first issue of whether this 16% to 17% is tied to the divestitures. The 16% to 17% is a reformed view by Moody’s about the measures we’ve taken over the last three to five years to reposition the portfolio. So it’s based upon their view of the existing portfolio and really the Capstone investment in that trend line around Oncor. Secondly, I do want to emphasize that how we handle the divestiture is really important to us. There is a fairly wide range of outcomes that could occur there. Our Chief Strategy Officer, Dennis Arriola is leading that divestiture campaign and we’ve been very aggressive rile to shoot to get that moving, so that’s something we look forward to making comments on to in the future. And then to your third question about Chile, it’s definitely not off the table. I think what we’ve tried to say is we’ve laid out a very disciplined phased approach to our strategy about what we’re going to basically articulate, both with our Board and the market in Q1 of next year and then in the following Q1 of 2020. And what we’re trying to do is to say that acquisition is reflected of how you run the business, whether you’re a buyer or seller you’re looking to partner. So we’re going to look at our international business with fresh eyes, I mean the legal term is de novo. We’re going to start from the bottoms up and we’re going to try get to the best possible answer near term and long term for our investors. So there is absolutely nothing off the table that was an ordinary course bolt-on to the existing franchise, which we quite frankly think makes it more valuable.
Joe Householder: One thing I’d say is that that transaction we discussed at our analyst meeting too, so that was in Dennis's slide deck as well.
Operator: Moving on we’ll take the next question from Shahriar Pourreza from Guggenheim Partners.
Shahriar Pourreza: So you just actually did touch on my Chilean question that Julien just asked. But I’m curious whatever decision you guys choose with South America. Is there an opportunity to reach a conclusion and a decision before you built Cameron, or should we thinking about any strategic decision you think about with South America would have to be as you get closer to Cameron?
Jeff Martin: We’ve talked about the fact that we're trying to improve our balance sheet and part of what we tried to explain at the analyst conference was the choreography that there's a timeline that allows you to look more aggressively at the portfolio and that timeline was choreographed against how we repatriate cash today and improve our balance sheet near term. Obviously, to your point Shahriar it’s really an inflection point in 2020 and we expect to have obviously all three trains fully up and running. And that gives us a lot more flexibility with respect to our balance sheet. But prior to that time, you can sell assets like wind or solar once which are not, quote-unquote credit dilutive But as you look at transactions which could be credit dilutive, there are scenarios where those can also be advantageous to our shareholders we just have to choreograph those. And that’s why we laid it out in a three-phase approach. The ones which can be beneficial to our balance sheet today, at least in the near term we've articulated is phase one. And we will look at the South American and international businesses between now and Q1 of next year, because we're getting closer to obviously having each of the trains producing LNG. So there is a certain timeline to that. But certainly we can make a decision on South America prior to the full commission of every train at Cameron.
Shahriar Pourreza: And just let me ask you one last one, because it -- sometimes it’s a source of confusion is. I mean clearly from your slide decks in your prepared remarks. I mean, you echo becoming a premier North American infrastructure company. So that inherently assumes LNG and IEnova remain very strategic to us for Sempra [Multiple Speakers]…
Jeff Martin: Well, I think this goes back to the timeline question as well, which is what we tried to say is that phase one is the opportunity to transact on assets today in North America where we think we can redeploy the capital more effectively. Phase two is going to be bottoms up review of our international businesses with the focus on South America. Obviously, that's choreographed against the strength of our balance sheet. You’ll recall that I described the fact that each of the credit rating agencies have assigned more value to Peru and Chile from a credit standpoint, because of the regulatory diversity and they are very, very high FFO to debt right. So as we go forward and continue to improve our balance sheet, it gives us more flexibility there. And with respect LNG, I think we talked about this. We were very intent on trying to highlight value with our LNG business as part of our TRV vehicle, much like an MLP, as that market went away, we’re going to continue to develop that business. And it’s really, Shahriar about looking for that efficient frontier whereas we develop that business and build scale and greater visibility to cash flows, we certainly would welcome the opportunity to that to market to create value for our shareholders. Joe, would you like to add anything to that?
Joe Householder: These two businesses are important parts of our growth. And since 2012, they created $40 a share value in our stock price and we think that that can be significantly higher. So we think both of those are great infrastructure growth areas. I think there is lot of complementary parts to them and so I think those are keen focus for us. What we do with them over time, we’ll see but I think that for us right now they are priority.
Operator: Moving on we’ll take our next question from Michael Lapides from Goldman Sachs.
Michael Lapides: Of the three LNG projects in the growth pipeline, which of the three whether Cameron 4 and 5, Port Arthur and Costa Azul, do you think is further ahead in the process relative to the other ones, and why?
Jeff Martin: Well, I’ll take a shot at this Joe and you can chip in with me. But I think what’s interesting about your question is each of them have their own unique attributes from a marketing standpoint. I described in an earlier question that the Cameron expansion feels more like a relationship management issue. Obviously, we’re focused on getting trains one through three done, that’s the laser focus of our entire LNG business obviously. But having Total in the mix now, I think makes it more important that we’re building great relationships with those three customers, being able to build trains four and five will be a huge opportunity for us. On the West Coast, clearly as you see more and more natural gas coming out of the Gulf. It’s pretty intriguing if you can actually develop a project where you can access San Juan or Permian gas and take it off the West Coast of North America. So as you can imagine, those people that want destination flexibility want to have a shorter time to the Asian markets without going through the Panama Canal and the issues there. That certainly is drawing a tremendous amount of interest. And frankly, Port Arthur is very well situated geographically. There are lot of folks who understand the value of the Port Arthur, particularly as you saw some affirmation of that Michael with the recent HoA we signed with Poland, which by the way, most people were surprised to see that that was a 20 year agreement. So I think each of these three facilities provide some unique marketing advantages. One of the things that’s intriguing before I pass it to Joe is much like back in the IPP days Mike when you used to talk about system sales that was how the California Department of Water Resources contract was structured, there's a lot of interest in some of the conversations with Octavio’s team is having around participating in more than one project, which I think is also interesting. And Joe, perhaps you can add some color to the question.
Joe Householder: Michael, I think I’ve said this before. We don’t particularly prioritize them that way, because each of them has a little bit different situation and each of them has a lot of interest, as Jeff was saying. And so when we were at the World Gas Conference, Jeff and myself with Octavio and some of his team, we talked to a number of different important buyers who each have different interest in them. So clearly, there are some at Cameron we have permits. At ICA we have permits. We’re working on and hope to finalize our permit at Port Arthur this year. We’re working with EPC contractors now at both the other facilities. And so each of them is a little bit different, we like them all and don't prioritize one over the other in like we want that one first and put all the team on that one. At this point, we're looking at all of them because they all have good opportunity.
Michael Lapides: And can I ask just a question about ICA, regarding the energy , meaning the pipeline infrastructure in Mexico needed to get Permian, let's say, Permian gas over to ICA. Just curious how difficult, how easy or hard would it be to actually permit those. Do you have some of the same issues that some of the other developers, folks like TransCanada seen getting pipelines built in Mexico? Just curious in terms of how realistic this is.
Jeff Martin: Well, I would just say, we talked a little bit about the mid-scale project, Michael, which is 2.5 Mtpa. We expect to use existing American pipeline system for that by enlarge to get it to this part of the country. If we go to the larger scale project, which is 11 Mtpa, we expect that that’s probably a new pipeline. I don't think we've determined yet whether the route is most efficacious to bring it across Northern Mexico or bring a portion of it across the United States. But I can tell you the key is having access to Permian. If you can actually do that in a way that's cost effective and basically launch LNG off the West Coast, it is hugely -- has a lot of interest from the market. Joe, you want comment on the pipeline?
Joe Householder: I would only add on to that. We've built in or partnered with 11 of the 14 pipelines built in Mexico, so we have not had a problem getting them permitted.
Operator: Moving on we'll take our next question from Ryan Levine with Citi.
Ryan Levine: What's the impact of the recently announced and potential future Chile investments on the expectation for cash repatriation from South America? And what's the return profile for the recent announced projects?
Jeff Martin: I'll pass it to Trevor. Go ahead Trevor.
Trevor Mihalik: Right now the repatriation that we announced with $1.6 billion over five years with, call it roughly 400 to 500 coming in 2018, none of that cash is coming from Mexico, that's all cash coming from Chile -- or none of its coming from Chile, it's coming from Peru and Mexico. So the cash and we're going to be using for the investment in that transmission lines is just cash that is the cash in Chile.
Jeff Martin: The second part of his question was the return expectations, it's immediately accretive and Dennis you want to add anything to those investments?
Dennis Arriola: We look at this and one of the things that we really liked about this was that is strategic, because the operating assets are actually part of our system right now. When you look at the vast majority of the transmission assets there, they are already associated with our, so there's their synergies there. But from a return perspective, we were -- I think we're smart about it. We're looking for double-digit leverage returns, high single-digit unlevered returns. And again, we're using existing cash from our business. This is a good investment regardless of whether we continue to stay in the country and grow, or if we decided to monetize in the future it only enhances the overall value.
Joe Householder: The only thing I would also add to that is that these assets are in into service territory as well, so it's a natural follow on.
Ryan Levine: Are there any additional opportunities in Chile?
Dennis Arriola: We're looking at it. Obviously, given where we're located outside of Santiago, there are some additional add-ons. We're continuing to look at some of the zonal transmission bids and the national ones. But again, we're only going to do this if it makes sense or if it’s complimentary to our existing system. We’re not just going to go chase an investment because it’s in the country of Chile.
Ryan Levine: And could you comment on the current appetite for additional U.S. acquisitions?
Jeff Martin: We don’t comment on M&A generally. I think that what we’ve laid out right now is we’ve got a fairly aggressive capital program going forward. We’ll continue to look at things if we think it’s strategic to us. I think we’ve been very clear about the types of things we’re interested and particularly in transmission and distribution, so that’s an area we’ll continue to follow. But I think we’re really focused Ryan on executing our plan and we’ll stay close to the markets which are most important to us which are California, Texas and Mexico.
Ryan Levine: And then regarding the ICA mid scale project, what’s the current outlook for permitting for that project? And are there any developments on that front?
Joe Householder: We basically have the full permit for the larger scale project and we’re working with government agency to modify that to accommodate this and hope to do that over the next couple of months.
Operator: Moving on we’ll take our next question from Paul Patterson from Glenrock Associates.
Paul Patterson: So want to just follow up on the asset sale. The $1.87 billion approximately assets held for sale, the vast majority of that I assume is the in wind and midstream and what have you. How much should we think is the tax basis for that?
Jeff Martin: How much you think the tax basis is for what we’re selling?
Paul Patterson: Yes.
Trevor Mihalik: Well again I would just say on the $1.87 billion, the impairment was roughly $1.5 billion associated with that and then 900 after-tax. On the tax basis for those assets, you can assume that the tax basis is actually fairly low in those assets, mostly from bonus depreciation and then also on the wind side associated with a lot of those, and we’ve sold down half of the interest on the wind side through the tax partnership structures.
Joe Householder: And Paul, you know we have large NOLs so it will not be a big cash impact with the tax effect.
Paul Patterson: And then just could you remind us what the earnings associate with those assets are?
Jeff Martin: You can see that we’ve published that at the analyst conference call, so you can see those assets for ’18, ’19 and ‘20 in the guidance ranges because we gave at that segment level. It goes up to roughly -- it goes from about $80 million to $100 million per year on the wind and solar side, and the midstream assets that we’re selling are at a loss today.
Paul Patterson: I just want to see if there has been any change in that. And then just finally on the -- I guess we’ve been having ex parte discussions at the California PUC. And I was wondering if there was any -- if you knew what that was about, or just what is that about, do you what it is about?
Jeff Martin: As you read any ex parte notification and talks about the overall scope of the ex parte conversations and afterwards they make a filing relative to that. And I’ll refer you to the public record on , Paul.
Paul Patterson: I did see the record on it. I guess just wondering if that's a normal thing or I don’t -- I hear you, I’ll just -- I appreciate your comments. Thanks so much.
Operator: Moving on we’ll take our final question from Lasan Johong from Auvila Research Consulting.
Lasan Johong: I’ll just ask two questions. First of all, what's your California risk appetite? And what I mean by that is if you had opportunities to make additional acquisitions or as a muni call for IOU. Is that something that would be interesting? And a follow up to Ryan’s question, and the reason I why ask is obviously PG&E announced that they maybe splitting up the company. My second question is with regard to President Trump's comments to Angela Merkel about importing Russian gas in light of that comment has Sempra seen an uptick in interest from either Eastern Europe or Europe in general for U.S. LNG. And is this something that is real or is it just political?
Jeff Martin: With respect to the M&A question, obviously broadly speaking, we don’t typically comment on M&A. But I’d probably answer it this way that last summer before we have these wildfire issues here in California, we have made the decision that we thought Texas was a great market from a regulatory standpoint, that they had good demographic growth, constructive regulation, and it was something that was a target of interest for us but calls of the T&D focus. But I think that gave us a great opportunity, number one, it gets more regulatory diversity. And given where we're at in our discussions with the credit rating agencies that guides you to thinking where you’d be more focused at this point in time. And then on your second question, we certainly have followed both pipelines in the Germany, both Nord Stream 1 as well as Nord Stream 2, and I think the President has been spot on. I think you go back to the 2014 EU charter there has been an emphasis for the entire EU community to diversify their fuel supply for their energy markets. So I think this is really an opportunity, that’s why we talked about little bit earlier about the importance of Port Arthur and the ability of some of these facilities that we have in the Gulf to access to Western European marketplace. We continue to think that the drivers there are more around energy security and energy independence, which was somewhat different from the drivers that we discussed at the analyst conference for Asia. So we certainly think it’s a political statement that the president has made, the work he has done with the EU is actually quite constructive for the entire LNG industry here in the U.S.
Operator: At this time, I’d like to turn the conference back over to Jeff Martin for any additional or closing remarks.
Jeff Martin: Well, look we’re very appreciative of everyone joining our call today. Per custom, if you have any follow-up questions feel free to contact the IR team and have a great day.
Operator: And that will conclude today's conference. We do thank you for participating. You may now disconnect.